Operator: Good day everyone and welcome to today’s First Quarter 2013 TriMas Earnings Conference Call. As a reminder, today’s call is being recorded. At this time, I’d like to turn the conference over to, Ms. Sherry Lauderback. Please go ahead, ma’am.
Sherry Lauderback: Thank you, and welcome to the TriMas Corporation’s first quarter 2013 earnings call. Participating on the call today are Dave Wathen, TriMas’ President and CEO; and Mark Zeffiro, our Chief Financial Officer. Dave and Mark will review TriMas’ first quarter 2013 results, as well as provide additional details on our 2013 outlook. After our prepared remarks, we will then open the call up to your questions. In order to assist with your review of our results, we’ve included the press release and PowerPoint presentation on our company website www.trimascorp.com under the Investor section. In addition, a replay of this call will be available later today by calling 888-203-1112 with a replay code of 1372622. Before we get started, I would like to remind everyone that our comments today which are intended to supplement your understanding in TriMas may contain forward-looking statements that are inherently subject to a number of risks and uncertainties. Please refer to our Form 10-K for a list of factors that could cause our results to differ from those anticipated and any such forward-looking statements. Also we undertake no obligation to publicly update or revise any forward-looking statements except as required by law. We would also direct your attention to our website where considerably more information may be found. At this point, I would like to turn the call over to Dave Wathen, TriMas’ President and CEO. Dave?
David M. Wathen: Thanks Sherry and good morning to everyone on the call. My goal this morning is to share with you another positive quarter of TriMas results. Insight into the rest of 2013 as well as our plans to continue performing well in the future. I will provide some opening remarks, Mark will share financial and segment highlights and then I look forward. After that we’re glad to take your questions. During the first quarter each year, we refresh an update our rolling three year strategic plans in each business and for overall TriMas. We just finished these reviews and I’m upbeat on our ability to continue our track record of sales and earnings growth. Let’s recap first quarter 2013 on Slide 4. Despite a top low growth economy, TriMas revenues were up 13.5% and income increased 28% excluding special items. That good one ratio of earnings to revenue growth matches my own centered metric for what a company like us should be able to accomplish, while investing for the future. EPS was up 13% while absorbing 14% more shares outstanding than a year-ago. After May, comparative share counts will be more consistent. We’re continuing to actively invest for the future in both growth and productivity programs. We have a good pipeline of both, so it’s great to have the financial horsepower to capitalize on these opportunities. We prioritize these investments based on payback, strategic alignment and our ability to implement, constraint to accelerated growth, it is usually technical capability. We successfully added some highly capable technical people like all companies; we do see a shortage of qualified candidates especially in the U.S. With all that said about investments for the future, long-term success comes from continuous short-term successes. So we keep after making sure our acquisitions on governed synergies, we measure all our growth and productivity programs for attainment and we stay focused on our short-term metrics including cash flow, working capital and leverage. I’m asked questions about the current environment, so we provided some highlights on Slide 5. TriMas has a good track record of revenue growth despite slow economies. I submit that the key to achieving this growth is that we find the bright spots, focus on these opportunities and execute well. We see ongoing strength in the energy and petrochemical markets, aircraft build rates, middle-class populations growing in Asia and South America, and construction recovery. We follow our customers where they need us. Our recent acquisitions are performing well, and we’ve closed on four more acquisitions so far in 2013. The four acquisitions include Martinic Engineering, which is now inevitable part of our aerospace offering and provides nice upside in our highly profitable growth of aircraft content. GVT in Brazil to expand our coverage in that key energy growth area, Wulfrun in the United Kingdom for specialty fasteners to grow content with refining customers plus reduced cost for fasteners that we previously outsourced, but we are just now announcing our acquisition of Witter Towbars in the UK, which is a regular step towards globalizing our Cequent business. I’m not here to convince you that our jobs are tough at TriMas, but I do acknowledge there are headwinds ranging from slow economies to the U.S. and Europe to rising costs in China and plenty of barriers to getting ourselves well established in places like Brazil. Of course we always seek to silver lining. Acquisition prices in Europe are becoming more attractive for example. Slide 6 is a summary of the bright spots each of our businesses is pursuing to ensure continued growth. The themes are common; you could almost say textbook approaches. The differentiators for TriMas are the businesses we are in and the skills, experience, and focus of our business management teams. Many of you have met the people who lead our individual businesses. They invariably know their customers and businesses thoroughly. They know the avenues to pursue for growth. Our compensation system rewards revenue had margin improvement. I want all of our management team to succeed and we are all paid for the successes. I’m about to turn the call over to Mark but first let me remind you how we approach continuous margin improvement on Slide 7. Our acquisitions and our longer-term investments tend to mix our overall margins down. So we need to stay focused on the actions that pull overall margins back up over time. Again, this is almost textbook management but our differentiators are the combination of tactics at the product and account level and overall TriMas wide initiatives that combine for better results. All of us understand the need for continued improvement of margins now and in future quarters. Now I will turn it over to Mark to provide more details about our financial results, then I’ll be back for closing remarks. Mark?
A. Mark Zeffiro: Thank you, Dave and good morning. Before we move on to the financial results, I’d like to reflect on our start to the year. There are some themes that are important to note. First Q1 represents yet another quarter of double digit sales growth. Our organic growth initiatives are working and we believe we can generate sustainable long-term growth. Second, our bolt-on acquisitions are adding volume. Although there are short-term impacts related to the cost to complete them, purchase accounting adjustments and the fact that businesses we buy often have margins lower than our legacy businesses. We drive incremental sales, better support our customers and create more value for all of our stakeholders. We now have a track record of targeting, acquiring and integrating complementary business that add value over time. Terribly, we remain focused on productivity and lean initiatives and we have plans in place to optimize our footprint and improve margins. This program continues to gain momentum across the enterprise. Finally, Q1 tends to be quarter where we build working capital. We’ve experienced real global growth, driving needs for new customer focus capital. We still have businesses which have real opportunities for improvement as well. Our organization will continue focus on improving working capital as a percentage of sales, cash flow and our leverage ratio as the year progresses. Let’s continue with the brief summary of our first quarter results on Slide 9. Our first quarter sales were $338 million, a 13.5% increase compared to first quarter 2012 with growth in five of our six segments. This was our 12th consecutive quarter of double-digit year-over-year sales increases. Our organic growth efforts focused on new products, growing end markets and market share gains represents approximately 40% of our growth. In addition, our bolt-on acquisitions contributed as expected to the top-line. First quarter 2013 net income attributable to TriMas would have been $17.4 million excluding special items related to restructuring cost associated with the Cequent’s manufacturing footprint optimization. This represents an increase of 28% compared to Q1 2012 primarily due to our efforts to lower interest and tax expense. For the quarter, we achieved a diluted EPS of $0.44 per share excluding special items, an increase of 13% compared to Q1 2012 while observing the effect of 14% more shares resulting from our May 2012 equity offering. Free cash flow and working capital were in line with our expectations; our results reflect our seasonal increases in working capital as well as result of acquisitions, actions to support our customers, new product inventory levels and geographic expansion. A few comments on margin; first quarter margins were tempered by our recent acquisitions, investments and growth, temporary cost and efficiencies driven by our long-term productivity efforts and higher costs associated with the full run rate of our long-term incentive programs. We have plans in place to enhance these marketing levels and are committed to productivity and lean initiatives. A few examples of margin improvement in the businesses evidenced in the quarter include Rieke. Q1 was a good quarter for our Packaging businesses. Margins were up sequentially as far as compared to Q1 2012. Arminak and Innovative Molding had been part of our business for more than a year now and we are continuing to see the improvements expected. We achieved an overall operating profit margin of 20% in Q1 with an EBITDA margin exceeding 25%. In our Lamons energy business, gross margins improved in all product lines as compared to Q1 2012. Operating profit margins also improved approximately 370 basis points compared to Q4 2012, while continuing to invest in expanding the global footprint and bolt-on acquisitions. We are transitioning this business for to improve margins over time. Another example is our Cequent Performance Products business. Gross margins continue to improve in Q1 and will be even more positively impacted when certain production moves to Mexico are completed. One final comment on margins and SG&A overall, SG&A remains flat as a percentage of sales when you pull out special items related to the Cequent restructuring and the cost related to the full run rate effect of our long-term incentive plan. While we continue to invest significantly for the future and growth in productivity programs including spending on projects related tax improvement and restructuring of the supply chain. Moving on to Slide 10, capitalization, we ended the quarter with approximately $506 million in total debt as compared to $499 million as of March 31, 2012 and an increase from year-end. The higher debt level was due to seasonality of the working capital to support our businesses as well as using more than $20 million in cash on three bolt-on acquisitions during the quarter. As a result, we ended the quarter with a leverage ratio of 2.7 times compared to 2.68 at Q1 2012. We expect this to be the high point to the year and still target a leverage ratio between 1.75 and 1.5 as our long-term goal. We ended the quarter with $177 million of cash in aggregate availability. In addition, as a result of retiring all the remaining 9¾% senior notes in amending our credit facilities to reduce borrowing rates during Q4 2012, we reduced interest expense more than 50% in Q1 2013 as a result of Q1 as compared to Q1 2012. We also have swaps in place against approximately 80% of our term-loan which should yield effective borrowing rates below 4% through 2017. At this point, I would like to share a few highlights on our segments beginning with Packaging on Slide 12. Q1 Packaging grew 37% compared to Q1 2012 as sales increased across the board with the exception of European industrial closures. Q1 was our first quarter of full production at the Ohio beauty park facility and our sales efforts in Asia continue to gain traction. We will continue to improve margins on the new business as we ramp up higher efficiency production in Asia. The combination of Rieke, Arminak and Innovative has enabled us to advance our targeted growth initiatives more quickly and we continue to receive positive customer responses. We believe in the end market growth prospects for this segment and continue to support the launch of new dispensing and closure products. Moving on to Slide 13, Energy, energy sales increased approximately 9% for Q1 2013 compared to a year-ago. This group growth was a result of multiple initiatives including our July 2012 acquisition of CIFAL in Brazil, increased focused on customers in engineering and construction space and incremental sales from our new branches to support our global customers. We continue to lever CIFAL and our January 2013 acquisition of GVT that service support customers in Brazil, given the expected growth in the regions energy sector. Entering new markets like Brazil has proven to be rewarding and challenging, we’re new to the market and continue to gain commercial traction to our acquisitions. We’re also pleased with our March 2013 acquisition of Wulfrun, a European manufacturer of specialty bolts which round out our product offering in that region. On Slide 14, Aerospace and Defense sales increased 17% in the first quarter, as we extended our content on aircraft with the acquisition of Martinic Engineering in January 2013. We continue to experience higher order activity as aircraft build rates declined, which resulted in some temporary stress on the manufacturing process. Backlogs remain at record levels and we are proceeding with the ramp up of our new facility in Tempe, Arizona, where we will manufacture new products for our key customers. We have also been installing new more efficient equipment for claim productivity and capacity gains. We expect this business to continue to grow as a result of increasing aircraft build rates, our efforts to obtain new product qualifications and our expanded geographic coverage. Moving on to Slide 15, Engineered Components; Q1 sales decreased 7% primarily due to the lower demand for engines, compressors and other well-site products. As a result of reduced levels of drilling and natural gas well completions, Q1 drilling weaknesses appear to be improving going into Q2 with gains in incoming orders. This temporary volume stress added pressure in the quarter on margins for manufacturing inefficiencies. Sales in our industrial cylinders business increased during the quarter primarily due to market share gains. We continue to develop new products and expand our international sales efforts in this segment. On Slide 16, we show this performance of Cequent has fell into two segments; overall Cequent Americas sales increased approximately 13% in the first quarter as a result of higher sales level from the auto OE, aftermarket and retail channels. We continue to outperform the economy as a result of market share gains, new product introductions and the July 2012 acquisition in Brazil. As evidenced by our continued footprint optimization, we remain focused on making these businesses more efficient and are pleased with our results today. Cequent Asia Pacific sales increased 14% when compared to Q1 2012 due to the July 2012 acquisition of Trail Com and our new customer awards in Asia and South Africa. Our recent acquisition of Witter Towbars in the UK will allow Cequent to leverage its full product line and strong brands around the world. We remain focused on productivity, product leverage and regional expansion in Cequent segment. At this point, I’d like to summarize the first quarter on Slide 17. During Q1, we invested in growth and took advantage of areas where we saw real opportunities to capture share or launch new products. We react with speed to better support our customers needs. These actions are benefitting as now most notably in the top line and will continue to do so plus generate margin improvement in the future as witnessed by our sequential margin improvement. In addition to our organic growth, we have been active with bolt-on acquisitions during Q1 to expand our geographic footprint and product lines. While these acquisitions come with some incremental cost in the beginning, we are consistently proven that we know how to drive value over time from these acquisitions. Lastly, we continue to remain focused on margins, cash flow, working capital levels, and leverage. We strive to demonstrate continuous improvement in all that we do. That concludes my remarks. Now Dave will provide some comments on our 2013 outlook. Dave?
David M. Wathen: Thanks Mark. On Slide 19, we are reaffirming our 2013 outlook that we provided two months ago. Our recent acquisitions of Wulfrun and (inaudible) add revenue where we expect to move us toward the higher end of our 6% to 8% range. Because we rapidly assimilate our acquisitions and expense those costs, we won’t see earnings upside until late in the year. So we are holding our EPS range with a reminder that the midpoint is a 19% improvement on 2012 and free cash flow is forecasted at $40 million to $50 million for 2013. All of this is well in-line with our long-term strategic aspirations. Slide 20 is a reminder of these. I mentioned earlier that we have just completed our 2013 update of our strategic plan and I’ll share some key takeaways. First on Slide 21, some overall considerations, the first filter for finding higher growth bright spots is to align with faster growing markets. Middle-class populations, the end consumers for most of TriMas’ products are growing fastest in Asia and South America. So we will prioritize investments, capacity, people and tech centers aligned with our customers who all pursuing these markets. Environmental concerns ranging from recyclability to Energy Efficiency to varying forms of energy are another higher growth driver we’re using to identify bright spots. And there are other considerations including competitor dynamics, customer loyalty and return on capital. Overall, we’ve agreed and focused on our top priorities in each business for growth of revenue and earnings. So on Slide 22, we’ve listed some key objectives that you will see as progression toward. I’m happy that our current group of businesses all have plans and capability to achieve TriMas’ strategic aspirations in aggregate. We have a pipeline of potential bolt-on acquisitions, the financial capability and the management horsepower to continue with several acquisitions per year. Our highest margin businesses Packaging and Aerospace will continue to grow such that we have capacity addition to plan through the next few years. Cequent will evolve from regional to global and gain the advantages that come with us. Energy will substantially complete its branch expansion and therefore be able to gain its margin potential. Norris and Arrow had solid product expansion opportunities to continue their growths. In a comment on our TriMas team, our success depends on our people. We have clear, well communicated plans and metrics, we fix issues fast and we reward performance and I have a goal to continue to put TriMas shares in the hands of TriMas employees. To that end, during the first quarter, I was able to award TriMas shares to the many key people around the world. Our Compensation Committee agreed to double the number of participants compared to the prior two years in this stock award program that targets high potential employees. Overall, we intend to continue to outperform our peers in revenue and earnings growth and to increase the value of TriMas by way of our value proposition on Slide 23. The pleasure of working in TriMas is the ongoing opportunity to identify bright spots, capitalize on them; the improved and increased value for all of us. Thanks for your attention. And now, we’re glad to take your questions.
Operator: Okay. (Operator Instructions) Okay, we’ll take our first question from Joe Bess with ROTH Capital Partners.
Joe Bess – ROTH Capital Partners: Good morning gentlemen and good morning Sherry.
Sherry Lauderback: Good morning.
David M. Wathen: Good morning, Joe.
Joe Bess – ROTH Capital Partners: First on margins, Mark, you talked a little about the nice improvement in energy business on a sequential basis. I was hoping that you could talk a little more about where you see these play-out going forward through the year, giving your acquisition in Europe and your penetration efforts in Brazil?
A. Mark Zeffiro: Yeah, the reality of it is, is we’re obviously absorbing and have made the right steps towards resolving the European structure. We expect as we saw continued improvement in this business. I wouldn’t consider it a huge improvement in the year, but I would consider it as Dave mentioned in his comments around the strategic plan of achieving back to historical levels over the (inaudible) horizon. So an improvement in the year with continued improvements in the out years.
Joe Bess – ROTH Capital Partners: Okay, great.
David M. Wathen: But let me, Joe, let me reinforce that. I sort of mentioned it, but part of the reason to acquire Wulfrun in the UK was to get specially bolt-on fasteners for Europe like we have in the U.S. for more Texas acquisition.
A. Mark Zeffiro: Yeah the (inaudible) acquisition.
David M. Wathen: And I’ll tell you a quick story. I was in Rotterdam in December, which is our hub for that business in Europe and while Curt and the crew fully knew this, it really sunk into me that our customers have been more and more evolving. So they don’t just want seals and gaskets. They want new fasteners each time and a lot of those are specialty fasteners. And we have to outsource those. So we already had the business, we’re paying somebody else to making for us. And we clearly have the opportunity within the acquisition to both expand the offering, but bring our cost down. And you’ll see some of that going on. This premise of in-sourcing some things, we’ve had outsourced as the demand has gone up.
Joe Bess – ROTH Capital Partners: You’re seeing that?
David M. Wathen: We’ve got some leg-up, some more leg-up opportunities in that.
Joe Bess – ROTH Capital Partners: Okay. And then thinking about Cequent, what’s the timing of that the completion of the Mexico production or the move to the Mexico facility? And what sort of margins can we really expect out of this business once that completion is – once that is completed?
David M. Wathen: Let me take a timeline question first. The timeline is in front of the business as most of the heavy lifting will be if not all of the heavy lifting will be done in 2013. Let me be something to spill over into Q1 time period in 2014, but we expect that largely be completed in 2013. The opportunity in terms of margin expansion in that particular enterprise is indeed obviously labor arbitrage between the U.S. manufacturing activities versus the Mexican manufacturing activities. And if you look at it, we’re looking at sort of $20 per employee differential on approximately 450 employees. So you can do your math in terms of what you decide there is clearly some offset associated with transportation cost along the way. But it should be a meaningful improvement in margins on a go forward basis in 2014 and beyond.
Joe Bess – ROTH Capital Partners: Okay, great. And then switching to some revenue thinking about Packaging, you had good demand for North American, Europe, you quickly commented on Asia, so if you can talk a little bit more about some of the developments that you guys are seeing in that market and then also just Asia market in general, given the strong growth that you guys have had over last couple of years in Asia.
David M. Wathen: We, you can almost track middle class population in the countries whether it would be India, or Thailand or China and we lay the glass at against demand for all kinds of dispensers. And so that demand continues to grow and as you know our real strategy is we follow our customers, who have gone after that project. And you also know that I tend to want to capture the volume first and then go later and build it fast and you know need some cost for a while until we are established and then go in at established capacity. We are exactly on that path. And just quarter after quarter, we’re getting new orders, we’re getting additional countries that we had only been minorly successful and we’re now getting significant orders. And we keep aligning our capacity plans with that. Additionally, we’re going to talk before that our big 600% plant in China for Packaging is in a, call it export only zone. But between us figuring out ways to move some things and interestingly, we call it Chinese Authorities deciding to be, to start loosening some of the rules, we got aside coming there, to allow us to ramp capacity faster. So, I mean, it’s all positives. I won’t pertain that there is not cost involved in moving things and ramping up and having to put inventory in some place for a while until we got a new plant there and all, but Joe – it all appears pretty good and the drivers are there...
Joe Bess – ROTH Capital Partners: Okay.
David M. Wathen: We’ll keep after it.
Joe Bess – ROTH Capital Partners: Great. And thinking a little bit more about revenue on a geographic basis and your penetration in Asia as well as just geographic expansion. What do you really see the mix going forward in terms of the U.S. versus international sales?
David M. Wathen: If you look at where we are today, it’s largely still U.S. domicile in terms of our sales, the growth outside the United Sates is clearly – certainly on a percentage basis, so the shift of the company will continue to change over time. As part of our strategic aspirations data, I’ve consistently said we’d hope to get to about 40% of our total revenues either domicile or exported outside the United States and we’re about 10 percentage points away from that at this point.
Joe Bess – ROTH Capital Partners: Okay, okay. And then last question, thinking about natural gas prices going out nearly $1 year-to-date. Are you seeing any influences on your gas business for national gas at this point in a near-term?
David M. Wathen: Yeah, like Mark mentioned that while natural gas drilling and well completion had actually dropped, and you could look at any of the industry reports on that, during fourth quarter and first quarter. It is picking back up again. Yeah, in the background of that is kind of four main thing about the federal government seems to have its own schedule on premise. But yeah, definitely the higher gas price is accounted back like last year.
Joe Bess – ROTH Capital Partners: Okay, great; thank you gentlemen.
David M. Wathen: Thanks Joe.
Operator: And next we’ll go to Steve Barger with KeyBanc Capital Markets.
Steve Barger – KeyBanc Capital Markets: Hi, good morning, guys.
David M. Wathen: Good morning, Steve.
Steve Barger – KeyBanc Capital Markets: So first, you walk to trend of most of my comments this quarter by beating on revenue, which is great. But obviously some puts and takes in the margins. Can you give us some detail around the comments that you made, you delivered $0.44 even well observing costs related to the acquisitions. Is there anyway you can quantify where you think consolidated up margin would have been on this revenue number, if the acquisitions have been fully integrated?
David M. Wathen: On a fully integrated basis, we post obviously purchase accounting and obviously the costs associated we’re actually buying the acquisitions. If you put that in context, puts also full run rate in terms of optimization maybe in the full year. It’s easily a 100 basis points higher and it’s probably more like 125 basis points higher.
Steve Barger – KeyBanc Capital Markets: That’s great.
David M. Wathen: Steve, you would love sitting in an operating reviews, there are – I’m not going to let you to…
Steve Barger – KeyBanc Capital Markets: I’m waiting for the invitation.
David M. Wathen: Because that they’re support one of the businesses come to right out with okay. It is my sales and margin in my core business. It is what the acquisitions there. It is I would perform. It is one all of the acquisition to cause – cost me. And then if they got certain goal around their restructuring that fuel that out. I mean we are pretty in clench to keep our core margins up, and then understand what our change stuff is doing to us, and then keep after that.
A. Mark Zeffiro: As another reference point Steve, in terms of legacy business price was also positive for the quarter.
David M. Wathen: In guidance there for the quarter in that – for the total business, so we think about the first year full absorption associated with the acquisition. We get the purchase kind of yet through other step, the step up, obviously the assets as well as the cost associated we’re actually completing the transaction going diligence, et cetera, there is – that’s the numbers I have said are accurate.
Steve Barger – KeyBanc Capital Markets: So PPA aside, [aero] line takes to run that out, is that your expectation, and that’s the margin profile? If you didn’t do any more acquisitions, is that the margin profile of the quarter and the back half for the year and the first half of next year, when do you think you get pass some these resorption issues?
David M. Wathen: It will be the first half of next year.
Steve Barger – KeyBanc Capital Markets: Okay. And I got a…
David M. Wathen: Remember we will keep you a longer, we find the right ones and the pressures are right. We will keep doing acquisitions, because I mean, I think the most difficult task, is keeping the top-line growing. And we’re going to keep after that.
Steve Barger – KeyBanc Capital Markets: Right. I did get on the call a couple of minutes late, can you give us any more detail on the tax rate, what drove it lower and what should we expect going forward? And if you’ve already said that, I’ll just go look at the transcript, you can let me know?
David M. Wathen: We drove it. I did not talk about specifically Steve. We drove it, as well as it was the tax affects this issue with the special items and the restructuring activities in terms of where the profit on the total company was recognized. So the 40% is not a sustainable level. The right answer is sub-30 and our point rates are likely that 28, 29 levels.
Steve Barger – KeyBanc Capital Markets: Okay. That’s why you would expect to full year to come at 28, 29?
David M. Wathen: It would be sub that, but that’s our...
Steve Barger – KeyBanc Capital Markets: Well, I guess, yeah for the next three quarters, we should think about that level.
David M. Wathen: Exactly right.
Steve Barger – KeyBanc Capital Markets: Okay. And question on packaging, in your comments you said you were able to target growth initiatives more quickly. Can you put some more detail around that in terms of how you’re thinking about organic growth rates this year or maybe on a normalized basis longer-term in the segment?
David M. Wathen: I’m not sure what you are specifically asking Steve. The organic opportunities are global, I mean we – is this ongoing drive towards – you heard to say at towards more concentrated materials and therefore tougher dispensers, there is more and more cosmetic, cosmetic has in covered and non-metallic and things like that. But we are doing to tend to drive the growth rates above the middle-class growth – middle-class population growth rate. And our job is to stay on top of every one of those and facilitize for it, and there is another trivial thing. You will see us adding product feature capabilities over the next two years and to keep after that. It’s a good – it’s a very attractive time of the business.
Steve Barger – KeyBanc Capital Markets: Sure, I guess I’m just looking for your expectation of what that segment growth rate should be given the product footprint and geographic exposures that you have right now. Is it mid-single digit or how should we think about that?
David M. Wathen: Well above that.
Steve Barger – KeyBanc Capital Markets: Well above that.
David M. Wathen: I said Packaging and Aerospace are the two higher growth businesses and four high single-digit for the TriMas, those two into one (inaudible), so.
Steve Barger – KeyBanc Capital Markets: Got you, okay I’ll get back in line. Thanks.
Operator: (Operator Instructions) We’ll next go to Scott Graham with Jefferies.
Scott Graham – Jefferies: Hey, good morning.
David M. Wathen: Good morning Scott.
Scott Graham – Jefferies: So the question that you answered before Mark, great answer on the 125 basis points. So if you would add that back continuing this theoretical, would you say that the balance of the margin decline was let’s say start up costs in – behind growth initiatives? It looks like portfolio mix was not a factor. But also it looks like maybe sales mix was a factor within the segment. So maybe kind of the reason why the margins didn’t go up was due to individual segment sales mix and some of this start up costs?
David M. Wathen: Exactly right, Scott, I’d also add to that, but we’ll beyond the intra-segment sales mix. I would also point to so much challenges that we have in terms of that that volume shrink that we talked in our engineer components.
Scott Graham – Jefferies: Got it, right. Could you tell us what’s going on the defense business right now?
David M. Wathen: We have a contract that’s purpose is to keep some people idling and employed. Well we are pursuing business under the capabilities to that line, it’s the same every place. Yeah, when we think, we got something that goes on hold, there is not much there, but we’ve taken a hit in the business.
Scott Graham – Jefferies: I got it.
David M. Wathen: Scott anything to add upside, but I’m going to be mighty surprise if anything positive happens.
Scott Graham – Jefferies: Yeah, and you have been consistent on that all along. So my guess the only thing was that it’s – I think I read somewhere in the release that the defense sales were up and not to read anything into that right.
David M. Wathen: No, no, no. In that context they were up in the quarter, but I mean we’re talking less than $0.5 million to stay in perspective right.
Scott Graham – Jefferies: Well that is putting in perspective.
A. Mark Zeffiro: Okay. So the business is about a $5 billion business at this point.
Scott Graham – Jefferies: Now understood.
A. Mark Zeffiro: On a full-year basis.
Scott Graham – Jefferies: All right, so you know I’ve asked this question before. So at what point does the branch expansion in energy slow to where we could actually see some of the re-through of the initiatives that I know are going on there, but are not reading through.
David M. Wathen: Well I implied some of that in my comments about strategic plan that we really, which was the first time in a three year strategic plan, we really talked about, are we coming up, we are coming up against the footprint we need. And so we still – it’s still a couple of years out before we’re done, but the branch addition, the rate of addition is what start slowing from now.
Scott Graham – Jefferies: Okay. Okay. Last two.
David M. Wathen: It all depends on the map, it is not that where we don’t want we need to be and then it comes down to do it by acquisition and do it by Greenfield and that will control the speed.
Scott Graham – Jefferies: Okay got it. Last two questions on over in the Packaging business, we’ve been working on a lot of new things in on the consumer side for a while, I was just wondering is there anything new there to report on anything new business wins or would have you that that’s a pretty cool business for your guys, great proprietary and I just wondering kind of what the development of that business was looking like now?
David M. Wathen: There have been some new awards in Asia that we’ve been pursuing for a while but for us, new volume as Mark mentioned the plant in Ohio that’s part of what we have there is other plants in the (inaudible) that make packages and labels and things like that. There is incremental awards going into that, such as that plant ramping up well. And then there is a – the food closures business, the innovative – we acquired an innovative, it is also getting – it’s continuing to find geographics. Remember, we bought that, we said it was basically a less the Mississippi business. It has been a balancing act of adding capacity in the business and adding front end sales people on the East Coast I call it and now some in other parts of the world. So, that’s the other piece you will see growing. And all of them are solid margins and so there is not really – you just see growth in each of these areas continuing.
Scott Graham – Jefferies: Okay. And certainly the last question is back on the M&A pipeline which I think you indicated was pretty robust right now, Dave is it still kind of the focus is in the better businesses or is there anything that you maybe seeing out there that spread across maybe some of the more industrial businesses?
David M. Wathen: We are definitely pursuing the strategic acquisitions in the growth platforms. There are some opportunistic ones that are still in other places, I’ve mentioned, I mean I think finally we’re seeing more realistic prices in Europe, but that said Europe is probably slow growth for long time, so the prices have to be pretty down attractive.
Scott Graham – Jefferies: Fair enough. Thank you all.
David M. Wathen: Thank you, Scott.
Operator: Next we will go to Robert Kosowsky with Sidoti.
Robert Kosowsky – Sidoti & Company: Yes, good morning guys and Sherry, how are you doing?
David M. Wathen: Good morning, Rob.
A. Mark Zeffiro: Good morning, Rob.
Robert Kosowsky – Sidoti & Company: I was wondering if you could – what is European industrial closures down versus a two or three years ago?
A. Mark Zeffiro: Versus the big year, it’s up 30%.
Robert Kosowsky – Sidoti & Company: I know the big years like 2010, 2011.
A. Mark Zeffiro: A clear 2009, 2008, 2009 sort of slowing down, 2008 was probably the last four big year. Hit the silver lining is, it has to decline more because you listen to the news out of Europe and you think we’ve taken an another 10% yet, and we so far it hasn’t.
Robert Kosowsky – Sidoti & Company: Okay, would you think it’s down versus...?
David M. Wathen: But remember our big plant is in Germany.
Robert Kosowsky – Sidoti & Company: Yeah.
David M. Wathen: I think Europe you got to stratify Europe nowadays being north and south.
Robert Kosowsky – Sidoti & Company: Okay and do you have any idea (inaudible) down versus like a more recent data plan like 2011?
David M. Wathen: We saw a double digit declines into 2012 and it was heavier in the front half of the year than into the back half of the year. So, double digits.
A. Mark Zeffiro: So, call it 50:50. If you wanted to, because our number is down 30 since the big years and it kind of hit halfway down in 2011.
Robert Kosowsky – Sidoti & Company: Okay. And then I guess right now in 2013, we have quite a few plans going online, it seems like you’re installing quite a bit of new capital stock and I am wondering if 2013 is like a big investment year in this regard and to 2014, we have a cleaner year from an operating standpoint, so that will kind of help facilitate the margin expansion.
David M. Wathen: Yes. I mean that the margin, a lot of the margin hit comes when you move in factories. Brand new factories tend to ramp-up pretty well; all brand new equipment high deals price processes and all that. It seem we are actually moving things that you got a lot of extra costs involved in that. So, yeah, that’s true, we will continue. We need to continue to spend for capacity in aerospace and packaging. But those two – will tend to be move facilities rather than moving facilities. Of course, you know what we’ve got going on, we consolidate in Australia, we’ve moved equipment into South Africa, we’ve been moving around, not only do we do acquisitions in Brazil, we needed to make some moves across the street and things like that. So we are incurring heavier move costs this year, and obviously Cequent got in North America it’s got heavy move costs. And it’s not just package, it’s just warehouses agreement.
A. Mark Zeffiro: Yeah. Probably the largest portion of the CapEx spend this year is indeed in the Cequent had a purposes related to very single productivity.
Robert Kosowsky – Sidoti & Company: Okay.
David M. Wathen: The realization of margins obviously just 2014 discussion.
Robert Kosowsky – Sidoti & Company: Okay. That’s helpful. And then I guess one of a point on Energy, it seem like to operating margins stepped up in the first quarter versus the fourth quarter, I was wondering if you could – are you seeing some of these new branches really starting to turn the corner and again better penetration there, so the product mix is getting richer.
David M. Wathen: There is some of that – the continuing upside of selling more specialty fasteners. We’ve had a variety of high margin small products coming online, we’ve mentioned intelligent modes that you could snap the thing on and check the door and things like that. And all those (inaudible) the small, very upside from those is starting to showing the numbers.
Robert Kosowsky – Sidoti & Company: Okay.
David M. Wathen: And I’d like to think, and I think this is true that safety in refineries is a huge issue, and we’ve got some new products that are more expensive, but do adapt to flexing joints and problem areas that they have. Sometimes (inaudible) just need this pack, its solving a problem that they have, and we’ve got a lot of action in that area...
A. Mark Zeffiro: Rob one more thing for you is, if you look at the consistent growth and we have talked about 2012 was a disproportionate sales and the background kind of catching up with the sales and sales related efforts, I’ll tell you operationally they’ve made nice improvements in controls associated with labor over time costs and things of that nature to. So not only they launched new products which had garnered better margins and in my comments I said all, we said all product margin were up, we have also done (inaudible) in terms of containment of the labor cost. You know a year ago we bought a very small plant in India for things called ring joints. We have been moving product between China and India and there’s kind of a horse race going on for cost between the two and every one of those things starts up with the margin. We got a lot of margin improvement activities in that business. There are call them smaller projects, but you add all together and this is nice effect.
Robert Kosowsky – Sidoti & Company: Okay, but is it fair to say that we’ve turn the corner now kind of double-digit operating margin, is kind of sustainable or is there still a little bit of onetime great product mix that might not listed…?
David M. Wathen: Our job security comes from the fact that things go on track. But yes, it has made a turn and much more confident in run rate stuff.
A. Mark Zeffiro: Yeah, the key words there is run rates, because if you were to look at acquisition opportunities, clearly there is things that are, margins here and there, but the legacy core business has in that form.
Robert Kosowsky – Sidoti & Company: Okay, that’s good. And then I know you talked about the like the organic growth outlook for the packaging side. And I was wondering if you could give us a rate of frame or think about the organic growth opportunities in Cequent North America, especially pretty decent or strong pharmaconomy in addition to housing coming back and just specific I’m trying to figure out how to look at housing relative to Cequent North America in the potential organic growth rate over the next few years?
David M. Wathen: You got a start with the forecast in middle-class population in the U.S., which are basically flat. So you got to start from there. The only upsides are like you say agriculture, construction, construction continues to climb, some upside for us in the downsizing of vehicles and therefore more opportunities for us to provide accessories and shipments and that kind of think, so that’s gone well. And then the other upside is the side benefit of us putting the big steel plant in Mexico is – good well that Ford can show it to Toyota and Nissan are all building plants in Mexico too and they have their own need for accessories and so we are doing a lot of enquiries about that stuff. So the core base business, call it the middle class driven business. I don’t think anybody has grown more than very low single digits for the next few years. So, all the upside we will get in terms of those events like new products and little bit for construction.
Robert Kosowsky – Sidoti & Company: Okay. Thank you very much.
David M. Wathen: Yeah it’s a (inaudible) stock, some of the rest of world is a lot - is a lot better
Robert Kosowsky – Sidoti & Company: Okay, thank you very much and good luck.
David M. Wathen: Thanks Rob.
Operator: (Operator Instructions) We’ll next go to Gregory Macosko with Lord Abbett.
Gregory Macosko – Lord Abbett: Yes thank you, thank you. And just one question with regard to Cequent you’ve made an acquisition recently how much, how many acquisitions you made in that area over the last year so.
David M. Wathen: In the Cequent line up.
Gregory Macosko – Lord Abbett: Yeah.
David M. Wathen: Greg I’m sorry, I just want to make sure you answer and my question. You have the Trail Com acquisition, which was done in New Zealand. Obviously a regional expansion also frankly something that’s part of the strategic plan. You’ve got the activity that we did in Brazil with Engetran in terms of entrance into that emerging market that’s growing very, very nicely for us and the most recent acquisition with the tow bars here in April that expand that global footprint.
A. Mark Zeffiro: It also what we call European spec product, its kind of two specs in the world, American and European in it, we got as a whole sort of designs we have had.
Gregory Macosko – Lord Abbett: And given the growth that we saw in the quarter particularly, is it fair to say that TriMas is fully committed to this sector and is going to stay that way.
David M. Wathen: What interesting Greg, I would say that’s in – and then they have track couple of your thoughts, is the opportunity for growth outside the U.S. in this particular market space is significant. Most of those markets are developing are under standards, most of these markets are providing organically high single digits, its not higher opportunities for us. So South Asia and Brazil are clearly nice opportunities with nice profitability as well. So most importantly, the opportunity we have our global brands, global technology and the sharing of that. So we saw the opportunity to continue expand that global footprint. I think it clearly it adds value for the total enterprise as well. So well let’s turn to Dave.
David M. Wathen: The answer is yes. My test is always the same; can I see it be in substantially better a couple of three years from now?
Gregory Macosko – Lord Abbett: And that includes...
David M. Wathen: You can start any business and secret right now, is on that path. You look – you start, if you had asked me that question three years ago, I better now than I would have thought it was going to be sitting here three years ago. And so with that crew has done a great job of improving.
Gregory Macosko – Lord Abbett: And that includes North America as well.
David M. Wathen: Sure.
Gregory Macosko – Lord Abbett: Okay, all right. Good. I am glad to hear it. Thank you.
David M. Wathen: Certainly, Greg.
Operator: Okay, it appears we have no further questions at this time.
David M. Wathen: Well, thank you everybody where you sure appreciate the attention and can tell we enjoy this business and we enjoy the opportunity to keep playing in bright spots and capitalizing on them, and that what we are here to do for all of you. So, again thanks, we appreciate your inputs. I always learn something from your questions; it’s a good to our history. Thank you.
Operator: And that does conclude today’s call. We thank everyone again for their participation.